Hung Hoeng Chow: Good morning, and a warm welcome to Olam Group's annual briefing for the results ended the year 2025. Happy Chinese New Year to all of you. Our full year results delivered at this time of the year always marks the beginning of an auspicious year. I'm Hung Hoeng, the Olam Group Investor Relations, and it's always my pleasure to host this briefing along with our senior leadership team at Olam, led by, on my right, Olam Co-Founder and Group CEO, Sunny Verghese; to his right, CEO of ofi, Olam Food Ingredients, A. Shekhar; and our Group CFO, N. Muthukumar, at the end of the table. But before Muthu will deliver a presentation of our group consolidated financials for the year, Shekhar and Sunny will present the segmentals of the respective operating groups, Shekhar, ofi; and Sunny as CEO of Olam Agri for the Olam Agri results. Sunny will also cover the same for the Remaining Olam Group before moving on to our reorganization plan update and also telling us what he thinks of the future outlook and prospects for the group. And before we begin, please read the cautionary note on forward-looking statements carefully. I thank you for your attention. I'll hand over the voice to Muthu.
Neelamani Muthukumar: Thank you, Hung Hoeng. Good morning, and a warm welcome once again to all of you for our 2025 annual results briefing. I would like to start with wishing you all [Foreign Language] the Year of Horse. So we all have an auspicious beginning. As you all know, there is changes to the presentation because of the imminent demerger of Olam Agri, which we had announced as a sale of 44.53% to SALIC, a subsidiary of PIF, the sovereign wealth fund of the Kingdom of Saudi Arabia. So the presentation is on 2 slides. As per accounting standards, we will be presenting a combination of ofi and the Remaining Olam Group. But for all of us to understand the real business as a combined Olam Group, we would be taking the liberty of presenting as one consolidated group, including Olam Agri. So the first slide, as you are seeing, is excluding Olam Agri presentation. We are at 4.4 million tonnes of full volume for the full year 2025 with roughly $30 billion of revenue, up 29%. And as you all know, we had historical high prices of the commodity that is in the ofi portfolio, particularly cocoa and coffee, and that has resulted in a significant increase in revenue to $30 billion, converting into an EBIT of $1.26 billion and a PATMI of $444 million. More importantly, the important metric that we track and report, which is operational PATMI, up 136% year-on-year at $511 million. The huge swing to the positive side on the free cash flow to equity, reflecting the normalization of prices in the ofi portfolio, resulting in a significant reduction in usage of working capital and automatically resulting in a positive free cash flow to equity of roughly $360 million in the year ending 2025, and that has resulted in a significant reduction in gearing, down from 2.79x in 2024 to 1.87x. Now with combined Olam Group, including Olam Agri, you can see that the volume is an overall of 59 -- 58 million tonnes, up 17%, resulting in a revenue -- combined Olam Group revenue of $67 billion, up 19%. And an EBIT from $1.26 billion, excluding Olam Agri, resulting in a $2.2 billion EBIT, up 13%. PATMI and operational PATMI remaining the same because regardless of however we see as discontinuing operations or combined operations, the resulting PATMI is $511 million, up 136% year-on-year. And gearing with Olam Agri down from 2.79x to 2.69x. So no surprise here on the volumes. 92% of the 58 million tonnes has been contributed by Olam Agri, the remaining 6% from ofi and roughly 2% by the Remaining Olam Group. However, as you all know, because of historical high prices in the ofi portfolio of commodities, that has resulted in a significant contribution in the revenue of ofi at 42.5% with Olam Agri contributing 56% and the balance roughly 2% from the Remaining Olam Group. In terms of the $2.2 billion of EBIT, 42% came from Olam Agri, 49% came from ofi and the balance 9% from the Remaining Olam Group. As you all will notice, the Remaining Olam Group has performed very strongly during the year. We had talked about it in the first half results that we presented in August of 2025, and that trend has continued for the Remaining Olam Group, contributing to 9% of the total EBIT of $2.2 billion. We have a $25.5 billion of total invested capital, roughly 61% coming from ofi, 30% contributed by Olam Agri and the balance, roughly 9% from the Remaining Olam Group. This is again a detailed presentation of the results, excluding Olam Agri. You can see that a PATMI of $444 million, out of which $170 million contributed from the continuing operation comprising of ofi and Remaining Olam Group, and roughly $274 million being contributed by Olam Agri. However, the operational PATMI is up from $511 million compared to $216 million year-on-year, which is represented to appropriately reflect the apple-to-apple comparison, contributed by the continuing operation of $224 million and the balance $287 million contributed by discontinuing operations. As I had highlighted earlier, you can see that in the continuing operations, it was a negative results last year of $105 million, has swung to a positive of $223 million, mainly because we had strong results contributed by the Remaining Olam Group businesses. Volume increased from roughly 49 million tonnes to 58 million tonnes, primarily from Olam Agri of 8.6 million tonnes increase in the cash trading business, primarily contributed by grains, oilseeds and edible oil trading. In terms of overall core operating profit, which is EBIT, we grew from $1.9 billion to $2.2 billion. As I had highlighted earlier, it was a swing of $350 million year-on-year contributed by the Remaining Olam Group businesses. In terms of operational PATMI, we talked about a significant increase from $216 million last year, a growth of $295 million year-on-year, resulting in an overall operational PATMI for the group at $511 million contributed by strong operating growth of $255 million from the EBIT growth. We had less exceptional items during the year that contributed to $63 million of profits as well as lower finance cost on the result of lower interest rates of -- and resulting in a lower interest cost of $53 million overall, moving from $216 million to $511 million of operational PATMI. In terms of invested capital, we talked about a margin reduction at $25.48 billion, primarily because of lower working capital utilization of ofi, resulting in the normalization of commodity prices, especially cocoa and coffee during the year of 2025. Gearing accordingly, excluding Olam Agri, dropped significantly from 2.79x to 1.87x nominal net debt to equity. However, more importantly, what we track and report, adjusting for RMI and secured receivables, dropped from 0.68x to 0.55x and including Olam Agri on a combined basis, adjusted for RMI, the net debt to equity was at 0.58x. This resulted in a significant swing in the free cash flow to equity. As I had highlighted earlier, we had a negative free cash flow to equity last year, primarily because of significant usage of working capital, particularly in ofi and with the normalization of commodity prices in the ofi portfolio had resulted in a positive free cash flow to equity of $360 million, primarily a swing of $6.3 billion year-on-year. Needless to add, some of the bankers are here and who are hearing us, thank you once again for your continued support. We have sufficient liquidity with diversified pools of capital with a healthy headroom of $7.6 billion over a total available liquidity of $15.5 billion, contributed by roughly $2.2 billion of cash, $8.8 billion of readily marketable inventories, roughly $0.5 billion of secured receivables and more importantly, $4 billion of unutilized bank lines. With that, I will hand over to Shekhar for presenting the ofi segmental results. Thank you.
Shekhar Anantharaman: Thank you, Muthu, and a warm welcome from my side, too, and a happy Lunar New Year to you. I hope it is successful -- healthy, happy and successful for all of us. So as always, I'll kick off the ofi segmental results. This is a slide all of you have seen for a long time, but I'm always very happy to share it at the start of every presentation because this is a strategy that we embarked on when we created ofi 5 years ago, now 6 years ago. And we have stayed true to the strategy. The market has done many things. The world has gone through many things. All of us are aware of that. But we have stayed focused on backing the strategy, investing behind it in brick-and-mortar, greenfield as well as acquisitions, but more importantly, creating the capabilities and deepening our customer and supplier franchise, which is really what finally matters. And even this year, if I look at the full 25 year, has demonstrated the resilience of this model, the validity of this model and the deepening of our relationships under what -- I mean, the word "unprecedented" has been used many times, I've used it myself. But it has been quite a unique set of circumstances in the marketplace, not just the commodity prices that specifically impacted 2 of ofi's largest platforms, but all the other macroeconomic uncertainty, the tariff pressures, which caused significant and still a moving goalpost for all businesses. And it is the integrated scale, size and footprint that ofi has built over many decades, not just at the start of ofi, but many decades. And the things that we have done over the last 6 years to build on top of that, getting closer to our customers, offering them even more varied capabilities from innovation to solutioning to private label, which was kind of a start -- a few experiments that we started with in 2020, in '25, I'm pleased to say that, that business across nuts, spices and coffee has really come to age. We are sizable in terms of our retailer presence, in terms of the segments that we -- and categories that we play in, in North America, Europe and Asia. So it is now a very significant part. So it was, therefore, a reinstatement of that what we said we did. And '25 was really, again, a year of continuing to do that under fairly tough circumstances. So when you look at the results in terms of EBIT and overall results -- I'll come to the segment in a little bit. The overall results were broadly flat for EBIT, but this is on lower volumes. Last year was not about increasing volumes. It was about really using capital in a very calculated, deliberate, disciplined way and ensuring that we can meet our customer contracts and under prices that were changing up and down, and with amplitudes that have not been seen before by the industry, and with the frequency of up and down moves that are also quite remarkable. So last year, cocoa hit a high of $12,000, ended the year at around $4,000. In the last 8 weeks, it's half of that. Coffee started the year at below $3, went up to well above $4, almost $4.50, ended the year at $3.50. In the last 8 weeks, it's gone up to $3.80 and is trading at $2.80 today, $1 off the highs in the last 8 weeks. So we're not talking here about small moves. We have seen that over 35 years, and we always manage commodity pricing. That is a big part of our capacity and capability that we have. But this has been testing. And so in that situation for us to be able to execute our contracts, ensure that the pricing is passed on to our customer in a fair, transparent and a reasonable way, and ensuring that we can use capital in a disciplined form and manner to ensure that we can maintain our returns, which were tested during this period, that has really been the focus for the business. And beyond that, what is hidden in these numbers is the big changes that have happened in -- like I mentioned about private label, but also in our Food & Beverage Solutions, which is a relatively new segment, but we are moving forward. These things take time, but we are moving forward and deepening our relationships and our solutioning capability with our customers. So if you look at our invested capital, you'll see that directionally, it's coming down. Now this is not reflective of the amount of change that has happened in the last 3 to 4 months. For most of the last year, invested capital, we started high. In the middle of the year, we went up higher. And the changes that have happened to pricing has happened more in Q4 of last year. And you can see that trend in terms of the lowering of closing invested capital, and this will -- over the H1, this will go down further if these prices remain at where they are or where they are headed. And so when we look at our returns, we look at average returns, which is a 3-point average over the year. So that's where you will see that the returns are falling, but this should change, because as we are releasing higher-priced inventory, which is happening already, you saw the changes in cash flow that Muthu pointed out. So the working capital will come down and the returns will improve. What's important to note here is that we are able to pass on the pricing, and that's the critical thing. As long as we can retain our margins, pass on the pricing, maintain our EBIT and ensure that we can get the cost of capital and the risk premium that is required in these markets, that is the important thing, and that's where we believe we have done well, and that's what gives us confidence for the future as the capital comes down, that these returns will improve as well as the earnings will hopefully continue on the growth path. So if you look at the 2 segments in which we report, Global Sourcing remains the foundation on top of which we are building a value-added single ingredient and solutions business. And Global Sourcing was tested. And Global Sourcing came out very well during this period. Small growth in volumes, but almost a 6.5% growth in EBIT being able to showing that -- actually, it's on lower volumes, higher EBIT. So therefore, ability to not only price but also price for risk on a risk-adjusted basis. And therefore, the EBIT per tonne growth that you see is, I think, again, very important part of that we are able to not -- we are able to maintain our earnings and EBIT per tonne. And on capital, again, it deployed a lot of capital for most of the year. That capital is coming down. It's coming down further in Q1. So that's again a good sign that we will be able to ramp up returns on this business as we go through the next year. On the Ingredients & Solutions, we were slightly off on our EBIT. Our volumes have been lower in this business, but -- and in terms of the lead lag in pricing, we have had lower price -- the higher priced contracts are yet to be -- because in the -- in this segment, we have much longer-term contracts and they take time to pass through. So we -- in terms of our pricing and our ability to price these contracts, we have been able to make our earnings, but they will pass through the books as we go through the shipments. A couple of areas which were affected during this period. Certainly, our IS business in coffee was affected because of the sharp increase in coffee prices as well as the change in the -- between the Robusta and Arabica pricing, which impacted margins in the soluble coffee business, but that is now correcting. We were also affected somewhat by the tariffs because of the steep tariffs on Brazil. And therefore, we had set up a new plant there, and that also got impacted. The soluble coffee has been impacted cyclically, but that business is on a very strong footing. And already we see in Q1 and late Q4 of last year and Q1 that the volumes and margins are picking up. So we don't -- we believe that, that will correct itself. And the real big growth in this year across nuts and spices has been on the private label side. So yes, it's been a tough year. It's been, in a sense, a flat year and a year of consolidating, managing risks, managing capital. But the way we are positioned at the end of year and the way the markets are headed and the way we are positioned in those markets, we feel very confident of both improving earnings as well as returns in '26 and beyond. With that, I'll hand over to Sunny and happy to take questions later.
Sunny Verghese: Thank you, Shekhar, and good morning to all of you. I have -- I will cover 4 things. First, how Olam Agri, as one of the new operating groups has performed for the year. Second, I will talk about how the remaining group outside of ofi and outside of Olam Agri has performed. Third part is we will provide you on the updated Olam reorganization plan that we shared with you, various elements of that. So we will cover that. And finally, we'll conclude with looking at outlook and prospects. And then the 3 of us will be available to take any questions that you might have. So we'll start with the first part that I described, which is about discussing Olam Agri's performance for the full year FY '25. I won't split it into the first half and second half. First half, we have already briefed you. So I'll just now look at what is the full year performance of the business. But before we go into the details of Olam Agri's business, just to take a lead from what Shekhar articulated for ofi as the direction of travel and the strategy for ofi, I'll just spend a couple of minutes on talking about where Olam Agri is in that context. So first, we are in the business of providing living essentials -- daily living essentials to customers across the globe. So what are these living essentials that we depend on, on a daily basis? It is a provision of food, it's a provision of feed, it's a provision of fuel, it's a provision of fiber, which is clothing. It's a provision of shelter, which is wood for furniture and for building materials. It is for mobility, which is our rubber business, which is about helping support mobility solutions in a market where demand for natural rubber is growing. So these are what we consume on a daily basis. Our job and our business is to provide you those daily living essentials. So that's number one. Number two, in order to provide you those daily living essentials, we have to solve major challenges or gaps in our food and agricultural system. So first, we have to solve the food gap. There is a big and growing gap between the demand for food raw materials and the supply of food raw materials in terms of calories. So we believe that there's going to be an emerging gap of roughly 7,500 trillion calories. In Singapore, we all consume about 3,200 calories of food per day. So if you take all of the globe's population and the population growth, et cetera, per capita calorie consumption, you're going to see an emerging gap by 2030 of roughly 7,500 trillion calories. That's a lot of calories. So our job as part of this ecosystem is to help provide and bridge the gap in terms of food consumption needs of the global population. Secondly, there's a huge gap in terms of land gap. How much of land do we need to provide this 20,000 trillion calories or this 7,500 trillion calories of gap. So we need land of roughly 584 million hectares, which is more than the size of India. So every year, we need to add land that is equivalent to the size of India to be able to bridge that land gap. So if you had to provide reliably daily living essentials to the world's population, we have to solve for the food gap, we'll have to solve for the land gap. Third, we have to solve for the climate gap in terms of emissions. We will have to reduce our emissions from roughly -- by roughly 11 gigatons. That is -- just from the food sector. Food accounts for about 30% of the world's carbon emissions, including land use change. So we have to address how do we produce more food that people need or feed that people need or other agricultural products that people need without destroying the planet and consuming unsustainably. So that is the third challenge, a third gap. The fourth gap that we have is the biodiversity and nature gap. So we are losing a lot of land because of deforestation, as an example. So how do we fulfill the nature gap and how do we also preserve the species that are essential for food production. So whether it's bees, there are 10 million species around the world. We are losing -- we lost almost 1 million of those species, and we are continuing to lose these species at an alarming rate. And they are very essential to make sure that enough food and feed and fiber is produced. So that is what we call the biodiversity gap. There's a water gap. To produce 1 calorie of food, you need roughly 1 liter of water. And 71% of the world's water is coming or going to agriculture. So agriculture is the biggest consumer of water. So if you want to provide all this on a sustainable basis, we need to address the water gap. We also need to address the livelihood gap. So a lot of the small farmers who produce our food, particularly the small farmer systems, they're not at even the poverty line definition. Fifty five percent of our smallholder farmers do not earn enough to subsist in ag. And 90% of them are below a living income. The minimum economic line of poverty is not enough to live a reasonable quality of life. So if you want to access to health and transportation beyond just the basic necessities of life, there is a threshold that you have to meet, which is significantly higher than just the poverty line definition. And that gap today -- almost 90% of the world's smallholder farmers, I'm not talking the large farming systems, are below a living income. And therefore, we are trying to find how we can address and solve that problem if we have to fulfill our business description of supplying daily living essentials to the global population. And then there's the innovation gap. In order for all this to happen, in order to solve for all these challenges and gaps, we need significantly additional capital to innovate production increases, productivity growth without which -- and manage all the climate change issues and the water-related issues and the nature loss issues, we need a lot of money going to research to find the next wave of productivity breakthroughs. So we believe that we are -- our folks in Olam Agri are challenged and motivated by the fact that our mission is quite transformational in terms of us meeting the daily necessities of life. So we have, therefore, developed over the years a differentiated business model that allows us to provide these solutions and that allows us to address the long-term secular drivers in terms of how do we produce and provide sufficient food, feed, fuel, fiber, rubber, wood, all of these products to help meet the growing needs of a growing population. So we have developed a very differentiated business model and the proof of the pudding in the successful execution of this business model is that by the sale of 100% potentially of the Olam Agri business to SALIC, which is a 100% owned PIF subsidiary, and they valued this business at $4 billion plus the closing adjustments. So it could be anywhere between $4 billion to $4.2 billion valuation for Olam Agri, which is about 3.5x our book when we did this transaction, is a clear vindication and demonstration and a proof point that our differentiated model that has helped us to generate these excess returns. We have very high capital efficiency, return on invested capital. And we have very high return on equity, both in return on IC -- return on invested capital and return on equity, we are #1 in our industry, amongst our peer group. And even this year, when our return on equity has come down to 26%, 26% is 2x, 2.5x our peer group average of return on equity. So that is because the model is differentiated. And we have gone through in the past sessions how Olam Agri is very differentiated. So the first thing I want to say about our results -- Olam Agri's result is that, Muthu and his executive team have done a phenomenal job in navigating some of the substantial headwinds that confronted our industry this year. So we had historically low commodity prices across almost our entire portfolio with the exception of palm. So if you look at everything else, soybean, wheat, corn, cotton, they were all at historically depressed prices. So when you have very depressed markets, you also have very poor volatility. A combination of lower prices and lower volatility means that there will be pressure on our margins, and that is what we confronted this year in 2025. So we have to look at our performance in the context of how we have performed on an absolute basis, but how we have performed relatively compared to our competition who are also confronted with these challenges of low commodity or depressed commodity prices and low volatility. So our EBIT, operating profit has come down by 9.2% compared to last year. But this is in the industry context where operating profits have declined for our peer group between 16% and 44%. So against a 16% to 44% drop in the industry peer group and all of you have access to the data because most of them are published results, and we are, I think, amongst the last companies to publish full year results. You will see that the whole industry has had a fairly significant lower performance compared to the last year. In the context of that, a 9.2% decline in operating profits, we are quite pleased with that performance under those challenging circumstances. There's also the issue of -- we were confronted with a lot of macro issues facing us, not just our sector in particular, but it has a very direct impact. So, for example, the trade and tariff wars and the last week's striking down of the Trump administration's tariffs by the Supreme Court, particularly the tariffs, which comes under what we call IEEPC (sic) [ IEEPA ], which is the [ International Economic Emergency Protection Act ]. Under the IEEPA, the Trump administration had targeted to collect $150 billion of import tax revenue, which they are well on the course to achieving it. They will probably exceed the $150 billion target they have. And while they have announced the tariffs from April of last year, it has distorted world trade quite a bit. It has also seeped into U.S. inflation because unlike what Trump and his administration is saying, most of these tariffs are borne by consumers and by the industries who are providing these goods and services. So if this 150 billion tariffs is now going to be cut, then they have now immediately responded by coming up with new kinds of tariffs, which cannot be struck down by the Supreme Court. One is the Trade Act. The trade under the Trade Act under Section 122, they can impose a minimum tariff, which does not need and which cannot be appealed to the Supreme Court. They cannot abolish the Trade Act tariffs. So immediately after the Supreme Court decision was taken, Trump has announced a 10% tariff on a Tuesday -- on a Friday or a Thursday, I think. And then within a day after that, he raised the tariff from 10% to 15% because 15% is a maximum tariff that can be imposed for a limited period of time. It can be imposed as a tariff for about 6 months. So he has said that he will now go up from 10% under the Trade Act, Section 122 to now 15% and is hoping that this set of tariffs, and then what they call Section 232 and Section 302, which is to -- against restrictive trade practices or against -- another provision, they can impose these taxes. So he has now imposed additional taxes through the Trade Act and Trade Expansion Act, different sections, that will allow them to compensate for the loss of revenue as the Supreme Court strikes down the IEEPA tariffs. All this will have -- so for example, on the $150 billion the U.S. administration expected to receive, he's already promised the soybean farmers in the U.S. that out of these tariffs he's collecting, he'll give them $12.5 billion of subsidies to be able to compete and supply their soybeans to the world's largest soybean market, China. Because Brazil and Argentina and other countries were therefore substituting the loss of soybean imports from the U.S. with soybean imports from Brazil, and Brazil has substantially increased its production by increasing its productivity and acreage under cultivation that China does not need to now depend on the U.S. In the past, if they wanted the soybean, they had to depend on the U.S. Now they can avoid not buying anything from the U.S. And as a result of that, the U.S. farmers are facing very depressed soybean prices and therefore, depressed profitability. And they are a big voting lobby for him. So he suggested that he will give them $12.5 billion of subsidies. So if all these subsidiaries are being struck down by the U.S. government, how will it be just one industry. And it's not one industry, one product, soybean, where he has promised $12.5 billion. So against potentially collecting $150 billion of tariff, I think they have already committed for various interest groups and various sectors well in excess of $150 billion they're going to be collecting. So all this will impact how these trade flows are going to be, and we have to be very nimble, very dynamic, very understanding of the specific trade flows and how they will be impacted. We have to position our assets. We have to be, therefore, largely asset-light so that we have the flexibility that if U.S. is not the largest exporter of soybeans, we have to be in those trade flows, which are going to take over that gap that is going to emerge as a result of that. So in that context, I'm spending a little bit of time explaining this context because what I wanted to show is that, the 9.2% reduction in the operating profits of Olam Agri has to be seen in light of the industry headwinds and how everybody has navigated that set of headwinds and how we have accomplished our results differentially. So I'm very pleased with this performance. Our business is cyclical and volatile and that we have to respect and accept. And in order to navigate the inherent cyclicality, structural volatility in this business, the way we do it is to be diversify. So we are diversified across food and feed and fuel and fiber and rubber and wood. That diversification helps us navigate the cyclicality and the inherent volatility in the business. And that is demonstrated by the fact that despite all of these headwinds that we face and what I described to you, we have had a very creditable performance in only having a lower operating profit of 9.2%. And within that there are different stories. Of course, we are a diversified portfolio and diversified across the supply chain that our cash trading business, which is one of our 3 important segments, has contributed only 15% of our operating earnings compared to last year having contributed 21% of our operating earnings. But our processing and value-added business has hit the ball out of the park in terms of -- under all of these challenges, going up in its share of contribution to operating earnings from roughly 59% to 66%. So it has had a very, very good year, and it has made up for some of the challenges that we had in the Origination & Merchandising business. And the Fibre, Agri-industrials & Ag Services business has remained more or less flat, just a 1% decline in share of operating profit this year compared to last year. You can see at the bottom, we have shown that our EBIT per tonne, our operating profit per tonne has declined about $6 from $23 last year to about $17 this year. And that is a reflection of all that we have had. We have compensated for the drop in margins by significant growth in volumes under these circumstances. So we have moved volumes from 45 million tonnes to about 53.5 million tonnes, 8.5 million tonnes growth in our volumes, which although we had lower margins per tonne was able to compensate somewhat for the absolute operating profits that we generated. There are other parts of the Olam Agri portfolio, which has done very well this year. The edible oil trading business has had a very, very good year. The cash trading business in grains, oilseeds lower than last year, but still a very creditable performance. We've had poor performance in the rice business. Very difficult time in the freight business. But there were other performing parts of the business across the 3 segments that have helped us to compensate for some of that loss in those businesses. We have grown our invested capital by about 11%, largely driven by the growth in volumes by about 19%. We have had growth in -- and that is because prices have come off, and therefore, it has not gone proportionately with the volume growth. I'll now just look at it segmentally very briefly. In the Food & Feed segment, we have 2 subsegments. One is the Origination & Merchandising business and the other is the Processing & Value-added business. In the Origination & Merchandising business, as I talked to you about the industry environment and the headwinds, we have actually had almost a 35% decline in the Origination & Merchandising segment. But within that, the various SBUs have performed differentially. Some have performed better than last year, better than budget. Some have performed at plan or at budget and some are below budget with a couple of profit centers and SBUs, which are loss-making in '25 compared to '24. The invested capital in this segment has gone up quite considerably because much of the volume growth that we talked about, the 8.5 million tonnes, a large proportion of that volume growth happened in this segment, requiring us to deploy more capital as far as the Origination & Merchandising business is concerned. Moving on to the next subsegment, which is Processing & Value-added, where I said operating profit has gone up slightly by about 2% from $601 million to $611 million. But you can see the margin per tonne has grown quite significantly from $115 per tonne EBIT per tonne, it has grown to about $127 of EBIT per tonne. And there has been a slight decline in total invested capital from $2.5 billion to about $2.4 billion, so about 4% reduction in total invested capital in the Processing & Value-added. So this has performed well, and this has performed well even compared to the prior year. We had a very good prior year, a very strong prior year in the Processing & Value-added segment. We have continued to improve on that position this year. So overall, this was one of the standout performances amongst the 3 segments. And finally, if you look at the Fibre, Agri-industrials & Ag Services segment, our operating profit has declined 13.6% on the back of a decline in operating margins per tonne of $65, coming down from the prior year of $81 per tonne. And that has contributed in the lower operating profits in the Fibre, Agri-industrials & Ag Services segment. Invested capital has been more or less flat, that's marginal decrease of 1%. But this was the story of the Fibre, Agri-industrials & Ag Services. But within that, some of the businesses have done very well like the rubber business has had its excellent year, again, on the back of a very strong prior year as well. And we have given you some colors in terms of highlights as far as the summary is concerned on how different categories have done within this broader segment of Fibre, Agri-industrials & Ag Services. With that, I want to move on to the Remaining Olam Group. The Remaining Olam Group, as you know, is what is not in ofi, what is not in Olam Agri, that is the part of the Remaining Olam Group. When we started this restructuring, in '24, as you remember, we had roughly 12 businesses and assets under the Remaining Olam Group. In '24, we sold 2 out of the 12 where we are left with 10. So last year, we started the year with 10 remaining assets in the remaining group. And during the course of the year, we have sold or shut down 3 out of the 10. So what we are now left with is 7. So in '26, our role is to try and find the right long-term home for these balance 7 businesses that we have, which as we explained to you when we provided you the reorganization update in April of 2025, we explained to you what we are seeking to do. What we are seeking to do is to responsibly divest these 7 remaining assets to the right long-term owners of these businesses who want to be in these businesses and will, therefore, invest to further grow these businesses. For the Olam Group, it wants to now focus on Olam Agri, which has been sold 100% to SALIC, and it wants to focus then on the remaining main business, which is ofi and prioritize that business. And that will then complete our restructuring journey, which we have been embarked on over the last 4 to 5 years of splitting the Olam Group into 3 individual parts, ofi led by Shekhar and Olam Agri led by Muthu and his executive team, and the Remaining Olam Group, where we are making arrangements once the separation and demerger of Olam Agri happens for a continuing management team to oversee the responsible and orderly divestment of the 7 remaining assets in the group. So how did this RemainCo assets perform last year? So there has been a remarkable turnaround between '24 and '25 in the RemainCo Group. So in '24, we had $152 million of operating losses. We have had a massive positive swing of $342 million from last year's loss to this year's profit number -- operating profit number of $198 million. So the swing was a positive $349.2 million in this business. As Muthu explained when he was introducing the overall performance of the group, he did mention that we had reported a first half non-operating profitability coming from the revaluation of our euro-dollar loans provided by the parent to the remaining group assets. And that was a significant driver to this turnaround. But if you remove the non-operational gain, which we described in great detail in the first half results, the operating performance of each of the remaining assets has been a solid improvement over the prior year. So we are very pleased with this turnaround, and we expect continuing improvement in performance of the remaining 7 assets. This has also reduced our invested capital in this business by 4%, but also dropped our volumes and our revenues by 5% and 7.2%, respectively, because we are discontinuing some of these operations, and therefore, we have loss of volumes and loss of revenues as a result of that restructuring. But this has been quite pleasing because for the last several years, as the reorganization started and was evolving, this was a drag on the consolidated profits of the group. But now we see light at the end of the tunnel in terms of the positive improvement in the operating performance. And if you look at the next 3-year plan that the constituent 7 businesses here have shared, we see good, strong prospects for a sharp turnaround, continuing improvement in the Remaining Olam Group businesses. So I want to move on to the third segment, which is on the reorganization update. As you all know, you are aware of what the reorganization update is. I just want to reinforce the core elements and the core parts of our reorganization. The first element of our reorganization was to create greater focus by splitting the Olam Group into 3 simplified operating entities, with more coherent underlying logic that makes each of these 3 operating groups and the constituent products within those operating groups hang together. So from a very large business, very diversified business, very complex business with lots of moving parts, the first element of our reorganization was to simplify our business, and by sharply focusing these businesses and splitting that into 3 groups, we expected and we have now demonstrated with the Olam Agri sale that we can get the full potential value of these underlying businesses without suffering any multi-business discount, or a conglomerate discount as they call it, or even a Holdco discount. So we can preempt being saddled with a very complex, difficult-to-understand business with being accorded a multi-business operation discount or a conglomerate discount. So that is the first principle of why we did this reorganization. Second is we believe that these 3 businesses are going to be desired by different investors. So the folks who want to be part of the ofi journey are potentially largely different from the folks who want to be part of the Olam Agri journey, and similarly for the RemainCo businesses. And within the RemainCo, the 7 businesses appeal to different sets of investors. Of course, they will all have some common investors group, but largely, they would be preferred to be owned by different investors. And this gives them now an opportunity. When we were one company, there wasn't the opportunity for an investor, A, who wanted to be part of the ofi journey to get an opportunity to invest only in ofi. They could only invest in all the 3 pieces together. Now our investors can decide whether they want to invest in ofi or Olam Agri or OGL, and that will be better aligned to their objectives and their desires. The third part of this was to eliminate the stand-alone intrinsic value because our valuation was co-mingled and people didn't know what would be the underlying value of each of these operating entities. The sale of Olam Agri to SALIC has demonstrated that we can eliminate the stand-alone value of a pure-play kind of company rather than a conglomerate company. And that's why we got the valuation that we got or the rating multiples that we achieved when we sold Olam Agri. And we expect the same uplift and elimination of value when ofi seeks to get new investors in the public markets or capital markets -- private markets whenever it deems it is the right time and opportune time to do that. And that also appeals to the sale or divestment of the remaining assets or businesses of the remaining group. And as we said, we want to, by that, remove any conglomerate and Holdco discount that we will be confronted with. And finally, we are trying to make sure with this reorganization that the rest of the Remaining Olam Group will be made to be debt free. By the steps that we described to you -- the 5 steps that we described to you, we will be able to make it debt-free. And therefore, we can resolve and optimize the overall goals that we have from this reorganization plan. So you'll recall, in April, we provided an update to the reorganization plan and where we stand. And we said we had 3 objectives. One was to delever the Remaining Olam Group. We allocated $2 billion of capital to degear and make Olam Group debt-free and self-standing. And in order to do that, we were counting on different sources of capital, which I'll come to in a minute. We also felt that ofi has a lot of promising growth prospects, and we should re-equitize ofi by providing additional $500 million of equity capital injection in ofi. So that has also been done and accomplished in the first half of the year. That was the second, its $2 billion to make the Olam Group -- Remaining Olam Group debt-free, $0.5 billion to support the growth prospects of ofi. And then we said we want to responsibly divest progressively over time, the remaining 7 assets that we are now left with -- or 7 businesses that we are left within the Remaining Olam Group. We had 2 sources of funds to meet these $2.5 billion requirement, which is the proceeds of the [ Inara ] sale, where we are expecting at the minimum $2.58 billion based on closing adjustments and time when Phase 1 and Phase 2 or Tranche 1 and Tranche 2 of the deal would be done. There could be some potential gains over and beyond this $2.58 billion, which is the basic proceeds that we will collect as a result of this reorganization. And finally, just a quick note on what is the progress since we have communicated this updated reorganization plan is that we are now close to completing the sale of the proposed 64.57% stake in Olam Agri. 35.46% is already held by SALIC. So what is not held by them is 64.57%. And we have now sold that to them in 2 tranches, 80.01% in Tranche 1 and the balance 19.99% in Tranche 2. But there is no -- in the Tranche 2, which is secured by a put and call option, there is no uncertainty about the price for Tranche 2. That has been fixed, and it will not change. And therefore, it is a completely secure transaction from the selling shareholder OGL standpoint. We have only got -- we had 21 approvals to get -- regulatory approvals to get. We have got 20 out of the 21. So we are waiting for the last approval to be got. We hope that will be obtained in the next -- by the end of March, potentially the first fortnight of April, which will bring close to the completion of [ Inara ]. The second update is we sold a 32.4% stake, which we already announced in our ARISE Ports & Logistics business for $175 million, which is at a small premium to our carrying value, our book value. This is our port and logistics business in the Rest of Africa. It is multiple ports in different parts of Africa. We currently own remaining stake of 32.5%. We have already sold the stake. We expect completion and receipt of proceeds from the sale sometime towards the end of April. So that is the second one. The third is, we have completed the $500 million equity injection into ofi, which has helped ofi invest in value-accretive meaningful projects that is in the broad direction of travel that Shekhar described to you that ofi has embarked on. We are also seeking to responsibly divest. As I said, we had 12 assets in '24. It came down to 10 in '25. Out of the 10 in '25, we are now left with 7. And we will see good progress in '26 based on where we stand today and the development of the transactions that we are trying to execute, there should be good progress, material progress that we achieved in '26 on the remaining 7 businesses and assets as well. We have given you some of the examples of the 3 that we have divested or shut down this year. And unfortunately, we didn't have much of an opportunity to initiate share buybacks. The best use of our capital will be to buy back our own shares because our shares are, in our view, extremely dislocated. And that will -- the value will only get crystallized once all of these actions that we are taking is executed. So when [ Inara ] completes, that's 1 data point. When ofi shows progress in all its growth that it is -- profitable growth that it is seeking, that could be another. When we sell the remaining assets of the RemainCo, that will be another proof point. As these proof point, people will begin to understand what is the value of the Olam Group. Till that time, it will be a little bit confusing for people to really discover and understand that value. So we would expect that to happen. So a good time for us to buy back our shares. But because all these things are happening, all these restructuring is happening, all these things are happening in Olam Agri, in ofi and the Remaining Olam Group, we are mostly, all through the year closed, in that we have privileged information that you, as shareholders, do not have. And therefore, we get very limited opportunities. No window, practically no window with the heavy activity -- corporate activity that we are in, which we have knowledge of. And therefore, we cannot get any clear windows, which you might be wondering why we are not -- the reason we're not able to buy is we can't buy without taking the risk of any fiduciary exposure because of the proprietary knowledge and information that we have on these businesses. So that, therefore, completes the third part. I want to then address a specific issue of dividend. It looks like the market is not very happy that we did not pay a second half or final dividend. It's not that we didn't pay a dividend in 2025. We have paid a first half dividend of $0.02 already earlier this year, in August of this year. But in view of the ongoing execution priorities that we have, we want to be conservative in terms of conserving cash. And as we start completing the various things that we mentioned to you, the completion of [ Inara ], the divestment of the RemainCo assets, all of which we are very confident we will get a lot of traction this year. And as we had already reiterated to you at the AGM and the EGM for the permission for the sale of Olam Agri, we had both times mentioned to you that whatever proceeds we get from the RemainCo businesses, so we sell any of those assets, we will pay a special dividend to our shareholders as and when we divest assets. We know that we cannot divest all these assets on 1 day to one customer -- one buyer. So this will be divested at different points in time to different buyers. But each time we divest, the proceeds that we collect from the divestment will be distributed to the shareholders as a special dividend. So we just urge that you're able to see and understand why we have not paid a final dividend and only paid an initial dividend is largely on account of the fact that we want to be prudent, we want to conserve cash till some of these milestones are met as far as the updated reorganization plan is concerned. So if you have a little bit more patience, you should be pleased with the outcome as we implement and execute this plan. With that -- just quickly, I think we have already covered this. Shekhar has covered it in the ofi. I have covered it for the group -- Muthu has covered for the group. We have talked about this for Olam Agri. So this you can read at your leisure in terms of what we see as the full year business prospects and outlook. All of the macro issues are common to all the 3 businesses. So we believe we have a point of view that we will have a continuing weakening U.S. dollar because of the huge fiscal drag in the U.S. and a growing fiscal drag in the U.S. And depending on the tariff uncertainty of what is passed through, what is going to be the final shape and form of the tariffs that is going to overcome this tracking down of the IEEPA tariffs, sticky inflation, because we are seeing the tariff flowing into product inflation already. So we will see sticky inflation. I think it's going to be a bit of a juggling walk even for the new Fed -- with the new Fed Chair, to dramatically reduce interest rates. So we see sticky inflation and potentially some reduction in interest rates. But if there is sticky inflation and there is all of these issues about the weak dollar, et cetera, I think the prospects for a dramatic reduction in interest rates, unless some developments happen, is going to be difficult. Specifically for ofi and specifically for Olam Agri and specifically for the RemainCo assets, we have slightly different perspectives on what the outlooks in each of these businesses will be, which is what is summarized here in this slide. And finally, the key takeaways that I want to summarize is, firstly, very strong PATMI growth on the back of operating profit growth in 2025. Reported earnings growing by 414% over -- compared to last year, and operating earnings growing by 162%. So that is a fantastic year for us. Secondly, completion of the sale of Tranche 1 of Olam Agri, what we call project -- sorry. Sorry. This is about the sale of our Port & Logistics business, ARISE business. That is progressing. We have various regulatory, but also financing and banking arrangements. We need to get consent from all the creditors, et cetera. So all that is progressing well. We hope by the end of April, we should be able to complete the transaction. We have -- the plan to divest the other assets in the Remaining Group, as I said, is making progress. We have nothing to announce today in terms of the completion of sale. But over the course of the next 10 months, the year, we would expect to see some progress and traction and the shareholders can expect to then receive whatever proceeds we're getting from the divestment of these assets as a dividend to shareholders. While I recognize that not announcing a final dividend for the full year has disappointed our shareholders, but I think it is the right thing we do -- we are doing for the long-term interest of the company. And finally, there's an exciting growth that ofi is planning. I'm not -- and the same applies to Olam Agri. I'm not talking about Olam Agri because it is in the final stages of being demerged. But the team in Olam Agri, Muthu and his team are very confident about the stand-alone independent prospects of Olam Agri under the new owner. So ofi, Olam Agri and all the assets of the RemainCo that we are trying to spin off to the right long-term owners of these businesses, all of the teams -- all of the teams including the RemainCo team, which knows that it is going to be sold to different potential investors, all understand that, that is the right solution because they will go to homes and investors and owners who want to further reinvest and grow the business. So I'm very satisfied and pleased that there is a very bright stand-alone independent prospects for ofi and equally strong, if not better prospects, in Olam Agri under the new ownership because SALIC is entirely focused on food security. And therefore, they are the ideal sponsors and future owners of our business. So it is an important change of -- and transformation of the Olam Group portfolio and its 3 operating entities, each of which is looking forward and excited about the long-term future of those businesses. We're happy to now pause here and take any questions that you might have.
Hung Hoeng Chow: Thank you, Sunny, Shekhar, and Muthu for the presentation. And we'll move on to questions from the floor.
Hung Hoeng Chow: Let me start with you on the floor if you have questions. Yes, Alfred. Can you take a microphone from my colleague there?
Alfred Cang: Alfred Cang from Bloomberg News. Could you please update us about the ofi's IPO preparation? Are we still -- is the company still pursuing it? The second part of the question is about cocoa and coffee market. So how would you frame the market structure at this moment? Do you see the market basically is transitioning into surplus? Or it's still a bit tight at this moment for both?
Shekhar Anantharaman: Okay. Let me probably answer in the reverse order. All markets are different. But broadly, both cocoa and coffee seem to be headed into a surplus year. The timings are different, the seasons are different and the situations are quite different. As far as cocoa is concerned, there is probably some uncertainty about the mid-crop, which is coming up in West Africa. So therefore, there might be some short-term pressures. But otherwise, from the way the crop is growing and the way the demand/supply has been and where the previous crop has been, clearly, there seems to be a surplus. And I think the entire industry feels that. That's already reflected in prices, probably also a little bit of overcorrection. But that is -- I think the surplus is reflected in the market. In coffee, it's quite clear that the new crop, the '26-'27 crop is going to be a very big crop, significantly higher from less than 40 million bags in Brazil. We are looking at potentially 70 million bags plus, Robusta and Arabica combined. So again, that supply surplus is going to hit. Some impact on demand is already there. But coffee, probably that surplus will hit the markets a bit later when the new crop starts in July, August. So we think directionally, both markets are headed into a surplus with the impact of the last almost 24 months of demand impact as well as supply tightness. But both markets are slightly different in terms of timing and when the surplus will really reflect in prices. Cocoa is reflecting. Coffee, it's probably yet to reflect fully. It's also directionally headed there, but yet to reflect. On your first question, again, a question that we have asked many times, and the answer remains the same. We are clear as part of the whole reorganization that the objective was to create value and unlock value. ofi remains absolutely confident about the path. I mentioned that in my presentation. The pathway for creating value is clear, and we stay focused on that. And the pathway to unlock value, whether it's in the public markets or private markets, both options remain open. We'll do that at a point of time when we need. The business is solid in terms of what it needs to do to kind of grow its pathway. We need to wait for the right. We will never time the market, but we want the right solution, long-term solution, which is right in terms of not just monetizing the value or exiting the business, it's about finding the right long-term value solution for the company. So we're not kind of holding our breath for IPO, but we remain prepared for all alternatives in the public and private markets.
Hung Hoeng Chow: The lady in front?
Benicia Tan: I'm Benicia from The Business Times. So I'd like to ask, what do you think are some of the key hurdles for the sustainability of the earnings moving forward, given that this is quite a significant rebound? And separately, are you able to comment on the remaining jurisdiction for the SALIC deal, for the divestment of Olam Agri? Like what are some of the requirements of that last jurisdiction?
Sunny Verghese: Yes. As you know, we don't normally give short-term forecast. So we're not going to start a new trend by telling you exactly what we expect each of these businesses to do because it is based on many conditions and market conditions, et cetera. But we are, as I mentioned, remain confident about the prospects of all the 3 operating entities. So firstly, ofi, you heard from Shekhar already. And there is expectation of continuing improvement to the financial and operating performance in ofi for the full year. The same thing we are expecting in Olam Agri that we will -- we look forward to significant profitable growth in Olam Agri. And post the completion of [ Inara ], whenever that happens, we think that will provide significant catalysts in how we pursue that profitable growth. We have quite a few ideas, and Muthu and his team is looking forward to the coming year as far as that one is concerned. The third, in terms of the Remaining Olam Group, we want to first focus on the operating improvement of the 7 businesses that we are left with. And your question about whether -- so the non-operational gains that we had in terms of the currency gains -- currency-related gains that we had might not be repeatable, and we don't expect it to be repeatable. But you have seen a distinct improvement in operating performance of the remaining 7 entities that we have in the Olam Group, and we expect that trend will continue in 2026 as well. So we are confident about the prospects of all these 3 businesses for different reasons. For Olam Agri, it is continuing to deliver the solid profitable track record that it has demonstrated over the last 4, 5 years. But now it has got an additional catalyst of a sponsor -- a new owner that's wanting to significantly grow this business. And in the case of ofi, as you've already seen, after the capital injection, some of the initiatives that ofi has taken to grow the business, and they see continuing prospects for the ofi business. So I think it is an inflection point. I think for us, '26, in many aspects and respects, will be an inflection point. And we are looking forward to '26 with some confidence. Yes. Yes. So the regulatory approval, we don't want to specify the country. We also don't want that regulator to be taking their own time because they know that they are the regulator who is holding us up. So we won't be public about that. But when we talk about the 21 approvals that we needed, one approval is from the European Union. European Union is a combination of 27 countries. One regulator that has to approve for us is ECOWAS. ECOWAS is a combination of 21 countries. Then there is COMESA, which is a combination of 6 countries. When we talk of 21, we only count 3. There's actually multiple countries under that jurisdiction. So we have made good progress. This is also a new requirement -- this one that is pending for us is a new requirement. So the application for that regulator also was the last application we made because it is a new requirement, which we are one of the first few companies that are being processed under this new requirement, this new regulation in this regulatory work. But as you know, we announced this deal in 24th of February, 2025. And if it completes as we expected in the next couple of months, next 2 months or so, then it is a remarkable progress in execution. As you've seen, some of the other deals in our industry have been delayed by more than 18 months after they said it will close. It's complex because food is sensitive. Food and water and all these things are very sensitive. And because of the tensions in trade and everything else, China, U.S., all of these issues, the approvals take time. But we are very pleased with the way we have progressed this and Muthu has been responsible for getting this over the line. So we are quite pleased with all that has happened, the progress that we are seeing as far this is concerned.
Hung Hoeng Chow: Thank you. I don't see any hands. So I would like to move on to questions from the webcast. I see 2 questions, one for Shekhar and the other for Muthu. Shekhar, the question is regarding the company's ofi's invested capital. How has -- how do you see that going down with the decreasing prices for cocoa and coffee in the coming half year? Can you talk about that?
Shekhar Anantharaman: Like I mentioned, obviously, a big part or most -- entirely the part of increase in invested capital was on working capital. And in that, it was also across our secured inventory and receivables. So as prices come down, as they have been coming down, you saw the year-end numbers were lesser, but that happened only for a few months of the year. And as we go through the first half of the year when the higher price inventory and secured receivables is received, that will come down. So we -- it will depend on where prices finally settle down in the 2 products where we have the significant chunk of our working capital and RMI. But we would expect, based on current pricing and current expectation, that it will come down fairly sharply in the second half. But I won't put a number to it.
Hung Hoeng Chow: The second question is for Muthu. On the SGD perpetual, the 5.375% coupon that's callable in July, is there any plans to refinance with another SGD perpetual or redeem it with the proceeds from the sale of Olam Agri?
Neelamani Muthukumar: So first of all, the perpetuals as and when they are due, and we will take the call in July in terms of calling when it is due. And as far as the refinancing is concerned, whether we want to pursue with the replacement by the same instrument, that is something which we will consider and as appropriate. Because as Sunny had highlighted for the Remaining Olam Group, we have 7 businesses that are remaining. And as and when the sale of Tranche 1 of Olam Agri is complete, as well as some of the divestments which are already on the pipeline, Remaining Olam Group is targeting to be debt-free. And if that objective is achieved, let's say, by July, there may be no requirement for us to refinance the SGD perpetual, and we will take it as it comes.
Hung Hoeng Chow: Okay. The third question is on the succession plan for Olam Group. Sunny, would you like to comment?
Sunny Verghese: You've already seen a succession plan announced and has taken full effect. So Shekhar was our first succession, becoming the independent CEO of ofi and reporting to an independent Board and an independent Chairman. And Olam Agri successor has been identified. We are not in a position to selectively reveal the name, et cetera. So based on what is going to be the succession plan, we are very confident that Olam Agri is going to be in very good hands. And we will make a few announcements at the time we have the AGM with regard to the succession plan as far as the RemainCo companies are concerned. So all this, you will have to have some patience. We will make all these announcements. But you know that we will do it thoughtfully and carefully. And we have already done the succession in ofi. We are ready for the succession in Olam Agri. We are also ready for the succession in the Olam Group. So you can be rest assured that when we are ready to make those announcements, we'll make those announcements. But we are very comfortable that we have found the right candidates to lead these businesses independent future.
Hung Hoeng Chow: There's question on dividend. With the Board's decision not to recommend a final -- second and final dividend, how is the outlook for dividend payouts in the following year?
Sunny Verghese: Yes. That will -- so there are 2 kinds of dividends that we can look forward to our shareholders. One is the normal dividends that we pay based on our operating performance. And therefore, being in a position to guess or even discuss what that will be would mean that we give you a forecast on what the operating performance of each of these groups are going to be going forward. And that will not be appropriate. So the remaining or the continuing group, as Muthu presented, the Olam Agri is now a disposable group and a discontinuing business. And the continuing business is ofi and the RemainCo. How much dividends we'll be able to pay from RemainCo and from ofi is a function of ofi's operating performance and contribution to the bottom line. And secondly, with regard to the RemainCo, it is largely from the divestment of these assets and the return of the divestment proceeds to shareholders as a special dividend. So for a normal dividend, we need to make a forecast on what is ofi's growth in profits. And for the special dividends, it is -- you have to make an assessment of what assets will be sold when, how much of divestment proceeds we'll get in a year. We will not wait for half yearly or full year, end of the year, for the special dividends. The special dividends will be paid out to you progressively as and when those transactions are completed. The Olam Agri, the existing shareholders have sold 100% of the business. So the existing shareholders will not partake in the future dividends or profit distributions as far as Olam Agri is concerned. So we cannot be specific about that question. You will get to know more as we announce the first half results and the second half results, and you will know what the improvement in operating profits, et cetera, are going to be, and that will determine the capacity to pay dividends. So the other factor is really how much capital is required to grow and if that growth is value accretive. So we want profitable growth. We want to grow more than our cost of capital. And if the returns by growing that way is something that the shareholders see and the shareholders want you to actually deploy more capital to find that profitable growth. If you're not generating profitable growth, the shareholders rather you return the money to them as dividends. So all those factors will be taken into account and consideration, but we cannot forecast specifically what the dividend prospects of the RemainCo will be today. But we can tell you what we will do. And you can hold us to account that, yes, we have sold an asset, we have distributed the proceeds as a special dividend, that you can hold us to account.
Neelamani Muthukumar: And if I might add, really, as shareholders, we should feel confident about the earnings prospects of ofi. The turnaround in the RemainCo that Muthu and Sunny highlighted, again, the operating turnaround of the RemainCo until they are divested is also on a strong trajectory. And that should give you confidence about the dividend paying capacity of the continuing operations after the sale of Olam Agri. And that's what I would like you to take. And then, of course, the actual dividend decision will be happening on a yearly basis or half yearly basis. So I would like to leave you all with a positive disposition with the earnings capacity and trajectory of the continuing operations, and that's what I'd like you to take.
Hung Hoeng Chow: Shekhar, there's a question for you on the outlook and what you see as the factors that will affect or increase the EBIT per tonne for ofi. Can you comment on that based on the investments you have in place for ofi as well as the changes in the prices for cocoa and coffee?
Shekhar Anantharaman: Sure. I think the markets, I'll leave, because markets can go up and down, and we will price appropriately. So our real medium-term to long-term EBIT per tonne growth is coming from the investments we have made in our value-added ingredients and solutions part of the business. There is modest growth in the global sourcing because as we are doing more specialty, more sustainable, more certified volume tonnage. But to customers, there will be some EBIT per tonne growth. But most of the global sourcing that is getting processed, the value add is really coming out of the EBIT per tonne growth in the Ingredient & Solutions side. There, I would probably split it into 2 -- 3 parts. One, there are investments that we have made recently, where they will come up to full capacity, investments in New Zealand dairy Phase 1, which is coming to capacity this year, but a second expansion is already underway. It's a very high margin, high EBIT per tonne business. Similarly, Brazil coffee that I mentioned is now fully commissioned, is not yet up to full capacity. We're already looking at a fourth phase of our Malaysia dairy. And then there are other investments that we have made in private label, which are still not operating at capacity. So as these come up to full capacity between '26, '27 and '28, there's going to be EBIT per tonne growth coming out of that. So that is investments made, which will take a natural time to get there. And we feel very confident. These are in businesses that we know. These are in businesses where we are making those EBIT per tonnes, incremental EBIT per tonnes. The second area is there are a couple of areas, like I mentioned, where cyclically or structurally, we have had lower EBIT per tonne, I talked about soluble coffee or industrial spices in the past. Those are where performance trajectory has to correct, and we feel again that the actions that we are taking, either -- if it's cyclical, it will correct automatically. If it's structural, we are taking actions. There again, we see EBIT per tonne improvements on this area. The third would be where we'll invest going forward, and we see or where we have invested in capabilities, specifically the Food & Beverage Solutions business, which is all about higher margin, higher value-add items, where it's not so much of more fixed asset investment, there will be, but there will also be more additional solutioning. So there are investment opportunities that we have identified over the next 3 years, which is the other area. So it's not going to be a high volume. So if you look at our guidance, we always stated we are going to look at low- to mid-single digit volume growth. But in terms of EBIT growth, we are looking at high-single digit EBIT growth, signaling clearly that's EBIT per tonne growth that we are looking at. Market prices might have some impact on short-term lead lag. But otherwise, it is the core EBIT growth. There, I want to leave you with the confidence that with what we have invested in, there is growth, with what we are correcting where there's a performance trajectory, which is not performing at level, there is growth, and then there is new investment that we will make in the coming years. So we see -- we feel quite positive. And that's why when the question was asked, we feel that there is enough value creation optionality that we have created in ofi and that we have already invested behind, and that's what we'll be trying to extract in the coming months and years.
Hung Hoeng Chow: I think this next questions can be answered by each of you from a strategic, operational and financial standpoint. What are the biggest risks for Olam, or Olam Agri, for Olam Food Ingredients and the Remaining Group in the coming year?
Sunny Verghese: I'm delegating to Muthu 2 of those questions, Olam Agri and Olam Group, and Shekhar will take the other one.
Neelamani Muthukumar: Thank you, Sunny. So obviously, as we are entering into 2026, the macro climate is challenging. We are seeing unprecedented intervention, especially in the U.S. that is -- can create issues on interest rates, can create continued tensions in terms of the trade flows that can happen, particularly between U.S. and important geographies like India, Brazil and China. Because there were independent trade agreements that were entered into or anticipated and then with this new development after the U.S. Supreme Court had struck off, what Sunny had talked about, again, all bets are off. And that's something that we have to wait and watch. And so apart from the normal supply/demand of the commodities in Olam Agri portfolio that we are well positioned to anticipate and navigate successfully, the macro climate condition is something which we have to be nimble, agile, flexible and have the ability to react very quickly. And that will determine how Olam Agri will perform especially in 2026. As far as the Remaining Olam Group is concerned, Sunny talked about the remaining 7 businesses. The primary objective is continue to look for long-term right owners of these 7 businesses while concurrently ensuring that these businesses continue to improve operational performance. And that we have already demonstrated in 2025. And we believe that these businesses are on a strong footing to continue to improve their operational performance in 2026 as well, while we are pursuing divestment opportunities that will result in the right long-term owners to own these 7 businesses.
Shekhar Anantharaman: Yes. I don't think risks are very specific to business. Again, if I oversimplify it, there are controllable risks and uncontrollable -- non-controllable risks. Controllable risks remain the same. Market risk that we have to manage, you have seen what we have done over the last couple of years. And that is a day-to-day business. That is a business as usual. It's very critical that we manage it well and manage it better than the rest of the industry partner or at least as well as that. There's operational risk, which is, again, with the spread and complexity that we have, we need to manage that. And those risks are controllable, have been in the business. I don't think there's anything new. There will be new things happening in different parts, but I think we have to adjust our systems process, people. That's really our risk mitigation there. On the uncontrollable, I think that's what has been impacting the larger industry and grabbing all the attention, geopolitical uncertainty, potential war, all the supply disruption that can happen because of that, we don't know. There, you can only say with a diversified footprint and speed to action, can you respond as well or better than the rest of the industry? So again, that is -- there is a lot of that on the tariff side, on the current situation in the Middle East. And we will have to see how that impact happens. And all we have to be sure is that we can manage it as well as anybody else or as fast as others. So yes, we have to kind of stay cautious, but we feel cautiously optimistic that across the board, across all 3 entities, we have the people, processes and systems in place and the experience over the last 25 years, which is really what will hold us hopefully in good stead.
Hung Hoeng Chow: Thank you. This is the last question from the webcast. And is there any other questions from members on the floor? If there's none, I will not stop you from going for your lunch, and I thank you for being here for the last 1.5 hours. It's very cold here. You can see I'm freezing, chattering. So thank you for your patience, and we look forward to seeing you in August, if not earlier. Thank you.
Sunny Verghese: Thank you very all much.
Neelamani Muthukumar: Thank you.
Shekhar Anantharaman: Thank you.